Operator: Greetings. And welcome to the Balchem Second Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Martin Bengtsson, Chief Financial Officer. Thank you, Martin. You may begin.
Martin Bengtsson: Thank you, and good morning, everyone. Thank you for joining our conference call this morning to discuss the results of Balchem Corporation for the quarter ending June 30, 2024. My name is Martin Bengtsson, Chief Financial Officer; and hosting this call with me is Ted Harris, our Chairman, President and CEO. Following the advice of our council, auditors and the SEC, at this time, I would like to read our forward-looking statement. Statements made in today’s calls that are not historical facts are considered forward-looking statements. We can give no assurance that the expectations reflected in forward-looking statements will prove correct and various factors could cause actual results to differ materially from our expectations, including risks and factors identified in Balchem’s most recent Form 10-K, 10-Q and 8-K reports. The company assumes no obligation to update these forward- looking statements. Today’s call and commentary also include non-GAAP financial measures. Please refer to the reconciliations in our earnings release for further details. I will now turn the call over to Ted Harris, our Chairman, President, and CEO.
Ted Harris: Thanks, Martin. Good morning and welcome to our conference call. This morning, we reported solid second quarter financial results, with growth in sales, record earnings from operations and record-adjusted EBITDA. I am particularly pleased with the excellent results within our Human Nutrition & Health segment, which once again delivered strong sales growth and record earnings. In addition, I am very pleased with the strong results within our Specialty Product segment, which also delivered strong sales growth and record earnings. Our consolidated revenues of $234 million were higher by 1.2% versus the prior year, with the strong growth in Human Nutrition & Health and Specialty Products being partially offset by a decline in Animal Nutrition & Health. Our gross margin dollars grew 7.3% and we expanded our gross margin percentage by 210 basis points to 35.5%. Earnings from operations of $46 million were higher by 6.9% versus the prior year quarter. And we delivered record quarterly adjusted EBITDA of $62 million, an increase of 5%, with an adjusted EBITDA margin of 26.6% of sales, up 90 basis points from the prior year. Our second quarter net income of $32 million, an increase of 6.5%, resulted in earnings per share of $0.98 on a GAAP basis. On an adjusted basis, our second quarter non-GAAP net earnings of $36 million, an increase of 3.3%, resulted in earnings per share of $1.09 on a non-GAAP basis. Cash flows from operations were $45 million for the second quarter of 2024, with quarterly free cash flow of $38 million. Overall, a solid quarter for Balchem with performance that highlights the strength and resilience of our business model. Before passing the call back to Martin to cover the financial results in more detail, I would like to make a few comments about the overall market environment and what we are seeing. Over the last four quarters or so, we have seen a gradual stabilization of demand and customers returning to more normalized order patterns after the volatility we experienced in 2022 and the early part of 2023. When we look across our portfolio of businesses, we are seeing excellent performance in our Human Nutrition & Health segment, led by our minerals and nutrients business, where we continue to see strong end consumer demand for our unique portfolio of minerals, nutrients and vitamins, and steady demand for our food systems. Our Animal Nutrition & Health segment is going through a challenging time, along with the broader animal feed additives market. We believe we have bottomed out here in the first half of 2024 and expect a modest improvement in the second half of 2024, compared to the first half, on improving dairy economics and the early contribution from a new product launch. For our Specialty Product segment, the primary business is our performance gases business, which continues to perform well in a stable market and we expect this to continue. From an overall Balchem perspective, I am very pleased with our market positions and value propositions, which have enabled us to maneuver through these volatile times over the last few years. In fact, this quarter represents the 20th consecutive quarter where Balchem has delivered quarterly year-over-year growth in adjusted EBITDA, despite all of the turmoil experienced in global markets over the last five years. That is quite an accomplishment and I would like to take this opportunity to thank the entire Balchem team for their exceptional performance and contributions toward this significant achievement. Thank you all very much. Additionally, I am excited to share that in May of this year, Balchem launched a new product into the market, Optifolin+, which is a patented, choline-enriched, bioactive reduced folate ingredient that supports cellular health at all stages of life. Optifolin+ is biologically active, which means that it’s readily available for transport and use in the human body and tissues, making Optifolin+ an excellent choice to meet Vitamin B9 recommended requirements. This product launch will add to our existing offering of minerals, nutrients and vitamins, and enable us to bring even more value to our customers, while at the same time supporting our vision of making the world a healthier place. And with that, I’m now going to turn the call back over to Martin to go through the second quarter consolidated financial results for the company and the results for each of our business segments. Martin?
Martin Bengtsson: Thank you, Ted. As Ted mentioned, overall, the second quarter was a solid quarter for Balchem, with sales growth, record earnings from operations and record adjusted EBITDA. Our second quarter net sales of $234 million were 1.2% higher than prior year, driven by strong performance in both our Human Nutrition & Health and Specialty Product segments. Our second quarter gross margin dollars of $83 million were up 7.3% compared to the prior year and our gross margin% was 35.5% of sales, up 210 basis points compared to prior year. The increase was primarily due to a favorable mix and decreases in certain manufacturing input costs. Consolidated operating expenses for the second quarter were $37 million, as compared to $35 million in the prior year. The increase was primarily due to net favorable impact in prior year from adjustments to transaction costs and the impact of restructuring related impairment charges, as well as higher charges related to outside services this year. GAAP earnings from operations for the second quarter were $46 million, an increase of 6.9% compared to the prior year. On an adjusted basis, as detailed in our earnings release this morning, non-GAAP earnings from operations of $55 million were up 4.2% compared to the prior year. Adjusted EBITDA of $62 million grew 5% compared to prior year, with an adjusted EBITDA margin rate of 26.6%. Interest expense for the second quarter was $4 million, a decrease of $0.9 million compared to the prior year, driven primarily by lower outstanding borrowings. We continued to use our strong cash flows to pay down debt and we reduced our debt by $35 million in the second quarter and ended up the quarter with a net debt of $203 million, with an overall leverage ratio on a net debt basis of 0.9. The effective tax rates for the quarters of 2024 and 2023 were 22.2% and 21.6%, respectively. The increase in the effective tax rate from the prior year was primarily due to lower tax benefits from stock-based compensation and certain higher state taxes partially offset by certain lower foreign taxes. Consolidated net income closed the quarter at $32 million, up 6.5% from the prior year. This quarterly net income translated into diluted net earnings per share of $0.98, an increase of $0.05 compared to the prior year. On an adjusted basis, our second quarter adjusted net earnings were $36 million, an increase of 3.3% from the prior year, which translated to $1.09 per diluted share. Cash flows from operations were $45 million, with free cash flow of $38 million and we closed out the quarter with $64 million of cash on the balance sheet. As we look at the second quarter from a segment perspective. For the second quarter, our Human Nutrition & Health segment generated sales of $148 million, an increase of 9% from the prior year, driven primarily by higher sales within the minerals and nutrients business. Our Human Nutrition & Health segment delivered record quarterly earnings from operations of $33 million, an increase of 21.3% compared to the prior year. This was driven by the aforementioned higher sales, a favorable mix and certain lower manufacturing input costs, partially offset by higher operating expenses. Second quarter adjusted earnings from operations for this segment were $37 million, an increase of 17.6%. We were very pleased with the overall performance of our Human Nutrition & Health segment, delivering strong sales and record earnings from operations. We continue to see strong demand in our minerals and nutrients business, and a more normalized demand picture in our food and beverage business. Our Animal Nutrition & Health segment generated quarterly sales of $50 million, a decrease of 19.2% compared to the prior year. The decrease was primarily driven by lower sales in both the monogastric and ruminant species markets. Animal Nutrition & Health delivered earnings from operations of $3 million, a decrease of 64.9% from the prior year. The decrease was primarily due to the aforementioned lower sales, partially offset by certain lower manufacturing input costs. Second quarter adjusted earnings from operations for this segment were $3 million, a decrease of 61.1%. As we’ve shared in earlier calls, our Animal Nutrition & Health segment, along with a broader animal feed additives market, has been going through a tough period over the last few quarters. We’ve shared earlier that the European animal feed market continues to show relatively soft market demand and continued competition from low cost imports flooding the market. And the North American dairy market has gone through a period of low U.S. milk and milk protein prices, impacting demand for our rumen-protected encapsulated nutrients. More recently, we’ve seen a stabilization in European demand and an improvement in dairy economics as U.S. milk and milk protein prices have started to improve. And while the market demand has not yet returned to healthy levels, we do expect the second half of 2024 to be modestly better than the first half. We’re also pleased with the early interest in a recently launched next generation rumen-protected product that we believe will further support the second half of the year. Our Specialty Product segment delivered quarterly sales of $35 million, an increase of 7.2% compared to the prior year, primarily due to higher sales in the performance gases business, but also supported by higher plant nutrition sales. Specialty Products deliver record earnings from operations of $11 million, an increase of 20.8% versus the prior year, primarily driven by the aforementioned higher sales and certain lower manufacturing input costs, partially offset by higher operating expenses. Second quarter adjusted earnings from operations for this segment were $12 million, an increase of 17.1%. We’re very pleased with the performance of Specialty Products in the second quarter, both from a sales growth and margin perspective, resulting in record earnings from operations and expect demand to remain healthy as the year progresses. So, overall, the second quarter was another solid quarter for Balchem. I’m now going to turn the call back over to Ted for some closing remarks.
Ted Harris: Thanks, Martin. Once again, we are very pleased with solid financial results reported earlier this morning. At a consolidated level, we continue to show an ability to deliver results in a variety of market conditions, given our strong market positions and our value-added portfolio of products. And we remain confident in the long-term growth outlook for Balchem as a company. I will now hand the call back over to Martin, who will open up the call for questions. Martin?
Martin Bengtsson: Thank you, Ted. And just one quick correction. I mentioned non-GAAP earnings from operations were $55 million. I should have said $51 million. So just let that be corrected as we move forward. So this now concludes the formal portion of the conference. At this point, we will open up the conference for questions.
Operator: Thank you. [Operator Instructions] Thank you. Our first question is from Kyle May with Sidoti and Company. Please proceed with your question.
Kyle May: Hey. Good morning, everyone. Ted, Martin, congratulations on a great quarter.
Ted Harris: Thanks, Kyle.
Martin Bengtsson: Thanks, Kyle.
Kyle May: I wanted to start with the new product, the Optifolin+ that you mentioned. Just curious if maybe you can expand on that and maybe talk about your expectations for the new product and maybe how we should think about revenue generation or the potential market opportunity there?
Ted Harris: Yeah Sure, Kyle. We really are excited about Optifolin+. It’s -- from our perspective, a breakthrough innovation that we have developed in partnership with Aprofol, which is a Swiss life science company. It is patented, choline-enriched, bioactive and it’s a reduced folate ingredient that supports cellular health at all stages of life. So unlike folic acid, Optifolin+ is biologically active, which means that it’s readily available for transport and use in the body, making it a great enhanced replacement for basic folic acid. And so the target market here is really the folic acid market, which is a huge market. It’s probably about a $1.5 billion in size in total. And the opportunity that we have, not unlike the opportunity we have in so many of our other products, is to penetrate that very, very large market with a better product. Obviously, more expensive product, but it is a better product. And so the target market here is to increase that sliver of the market that’s using a reduced folate, a biologically active product to replace folic acid. So our goal is to take a percentage of that market and we view this as an opportunity that is $20 million to $30 million of opportunity over the course of the next three years, four years or so. And maybe that’s kind of under-clubbing the opportunity given the market size is so large, but we feel like that’s a realistic goal for this new product that we’ve launched in the marketplace. So we’re excited about it.
Kyle May: Excellent. That’s exciting. My next question is around margins. This is an area you guys continue to improve on. I was wondering if maybe you could expand a little bit more and kind of help us understand is this, I know you mentioned several different factors, but is it lower input costs, is it better efficiency by the company? Any color there? And then also, as you’re thinking about the back half of the year, can you continue to squeeze more out of this or have we kind of hit a peak?
Martin Bengtsson: Yeah, let me take that one, Kyle. I think just taking a step back first and what we’ve said in the past, we talked about sort of how our margins got squeezed a little bit in the inflationary period, right? As raw materials were going up and we were passing that through kind of dollar-for-dollar, but just from a margin percent perspective, they got squeezed and we were sort of saying that we expected that to come back and return as we got into a more deflationary period and that’s exactly what we’ve seen. So now we’ve seen raws come down. We’re passing some price back to customers, but not necessarily a 100% of it. So you’re seeing that uplift in margins. And you have a little bit of a timing benefit there, right? Of raws coming down prior to you passing things back to your customers. So you get a little bit of a boost in that margin from that timing lag. That being said, we have also seen a favorable mix in our portfolio. We have our minerals and nutrients within our Human Nutrition & Health segment doing very, very well at the moment. That is also a higher margin part of our portfolio. We’re seeing Specialty Products coming back, doing very well, which is a higher margin part of our portfolio. And while we obviously don’t like that Animal Nutrition & Health is going through a tougher time, that is relatively speaking a lower margin part of our portfolio. So that being down also supports a favorable portfolio mix from a margin percentage perspective. As we move forward, I think, we are -- we’ll see some moderation in the margin rates as we give some of this raw material deflation back to our customers. So pricing is negative for us. We gave back price in the quarter, we gave back price in prior quarter and I expect us to continue to give back some price here in the next quarter. So that will moderate the rate a little bit and also as we’ll see A&H, our animal nutrition segment, come back a little bit, that will moderate the margins a little bit as well as they are dilutive to the overall. So I think, going forward, they will moderate a little bit, but probably stabilize. That’s something that’s at or above historic rates.
Kyle May: Excellent. That’s great. And last one, Martin, you had mentioned the new product launch in Animal Nutrition & Health. Is there anything else you can tell us about that product in the second half of the year?
Martin Bengtsson: Yeah. We sort of introduced it as an encapsulated rumen-protected amino acid. There is an established market for that today already and we’ve sort of come up with a next generation product to gain share in an established market there, which we think we’re very well positioned to do. So we have just started selling it and we’ll sort of be ramping that up a little bit as we go through the year. And as we ramp up production and inventory levels, et cetera, we’ll start going harder after it. But it should contribute a couple of millions here in the second half of the year and then be more significant in 2025 for us.
Kyle May: All right. Great. Thanks for the time this morning.
Ted Harris: Thanks, Kyle.
Operator: Thank you. Our next question is from Ram Selvaraju with H.C. Wainwright. Please proceed with your question.
Ram Selvaraju: Thank you very much for taking my questions. Can you hear me?
Ted Harris: Yes, Ram. Thanks for calling in.
Ram Selvaraju: So, with respect, again, to the Optifolin product, just two things there. Firstly, I was wondering if you could give us more of a sense of how many additional potential new product franchises might come out of this technology platform or this technological approach that you use to formulate Optifolin, and if you can confirm that you’re using some of the same technological innovations that power OptiMSM?
Ted Harris: So there is a similarity there in name with OptiMSM, but it’s really in name only. So I would say that the technology there is completely different. And as I mentioned in my response to Kyle, this was an external innovation that we did with a partner and so it is unique technology. But choline plays quite an important part of this innovation. It’s -- as I said, choline enriched and choline plays an important role in the solubility of this product, which is inherently an issue with other reduced folate. So we feel that it is well aligned with our leadership position in choline, where we’re leveraging that capability and technology. But it is very unique to the OptiMSM technology and really there’s no connection there. But the fact that choline does have this hygroscopic nature to it, which can be a problem in certain applications, but also in this case a real benefit. I do think there is an opportunity for this type of technology that’s being used for this new innovation to be used and developed into additional franchises. Obviously, that’s the ways away, but Optifolin+ is, I think, kind of the first innovation that’s using this choline enrichment and there could be others, but let’s get this one. It’s been launched. There is actually a product on the store shelves already incorporating Opti, I mean, Optifolin+, so we’re excited about that and let’s see how this one goes.
Ram Selvaraju: And then with respect to the key franchises, the key brands that you’re developing within the H&H space, can you give us a sense now of where you expect those to shake out in terms of relative size, one versus the other? Clearly VitaCholine has been an important contributor for a lengthy period of time, but now you’ve got K2Vital, you’ve got OptiMSM, you’ve got Optifolin+. So maybe just give us a sense of which of these you think are likely to be the most significant contributors going forward. And maybe this is a question for Martin as well, as we go forward, when do you think perhaps you might start to give us more granularity and break out the individual sales of some of these key brands in future reporting periods?
Ted Harris: So let me go first, just kind of relative size. Today, our line of, as we brand them, Albion Minerals is the largest opportunity. And a little bit like what I talked about for Optifolin+ relative to a very large folic acid market of a $1.5 billion or so, the broader minerals market is massive, just like that. And so I think that while our minerals business, our chelated minerals business, our Albion line of minerals is our largest today, I think, it also will be our largest in the future, because we have a very, very significant opportunity ahead of us to continue to eat away at that inorganic mineral, less bioavailable massive mineral market. So I think that position will remain our largest going forward. The choline business and the K2 business, I would say, are kind of very similar sizes. And I think also have similar market opportunities, maybe the choline having even more addressable market opportunity than K2, because of its kind of broad therapeutic category benefit. So while they’re similar size today, I would think in five years, 10 years, our choline franchise would probably be larger than a K2, because of, again, the breadth of the therapeutic category. So, that’s where I would rank those market opportunities and market sizes. The chelated minerals, our Albion brand of products, largest today, continue to be the largest. K2 and VitaCholine, the same today, but VitaCholine has a bigger market growth opportunity long-term. So I would expect that to be number two and K2 to be number three long-term.
Martin Bengtsson: And I think, Ram, in terms of breaking them out, we have no plans at the moment to do that. Obviously, there’s some commercial sensitivity in breaking that out by brand in terms of competition and then knowing exactly what you have and don’t in the markets. So no plans at this point.
Ram Selvaraju: Okay. And then lastly, with respect to the effective tax rate, Martin, again, as is typical, I’m just looking for some additional granularity, additional guidance on what you expect the effective tax rate to look like in the second half of this year. And if we should expect it to be in line with what you reported for the second quarter or if you expect it to trend a bit higher? Thanks.
Martin Bengtsson: Yeah. I mean, we’re sort of just below 22% year-to-date, and I previously said, I was expecting it to land somewhere between 22% to 23%, and I still think that and we’re probably going to be closer to the 22%. So I think 22% plus or minus a little bit is probably a good estimate based on where we are at this point in time in the year.
Ram Selvaraju: Thank you very much and congrats on all the progress.
Martin Bengtsson: Thank you.
Ted Harris: Thanks a lot, Ram. Appreciate it.
Operator: [Operator Instructions] Thank you. There are no further questions at this time. I would like to hand the floor back over to Ted Harris for any closing comments.
Ted Harris: Thanks, Paul. Once again, thank you very much for joining our call today. We really appreciate your time and we look forward to reporting out our Q3 2024 results in October. In the meantime, we will be participating in the H.C. Wainwright Annual Global Investment Conference in New York City on September 9th and so we hope to see some of you there. Thanks so much.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.